Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the Newpark Resources fourth quarter earnings conference call. During today’s presentation all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions) I would now like to turn the conference over to Ken Dennard with DRG&E; please go ahead.
Ken Dennard: Thank you Brittany and good morning everyone. We welcome you to the Newpark Resources conference call today reviewing 2009 fourth quarter results. We’d also like to welcome our internet participants listening to the call, as it is being simulcast live over the internet. Before I turn the call to management I have the normal housekeeping details to run through. For those of you who did not receive an e-mail of this release yesterday afternoon and would like to be added to the distribution list, please call DR&E at 713-529-6600 and provide us your contact information or you can e-mail it to me. My e-mail address is on the contact section of the press release. There will also be a replay of today’s call, and it’ll be available by webcast on the company’s website www.newpark.com, and there is also a telephonic replay which will be available 24 hours, seven days and it’ll be available until 26 February; also and that information’s only released yesterday. Please note that information reported on this call speaks only as of today February 19, 2010 and therefore you are advised that any time sensitive information may no longer be accurate as of the time of any replay listening. In addition, the comments made by management today of Newpark during this conference call may contain forward-looking statements within the meaning of the United States Federal Security Laws. These forward-looking statements reflect the current views of the management of Newpark; however various risks, uncertainties and contingencies could cause Newpark’s actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listeners encouraged to read the company’s Annual Report on Form 10-K, its quarterly reports on Form 10-Q and current reports on Form 8-K, to understand certain of those risks, uncertainties and contingencies. Now with that said, I’d like to turn the call over to Newpark’s President and CEO Mr. Paul Howes. Paul.
Paul Howes: Thank you, Ken and good morning to everyone. We appreciate you joining us for our 2009 fourth quarter conference call. With me today are Bruce Smith, President of our Drilling Fluids Business; and Jim Braun, our Chief Financial Officer. Following my comments, Bruce will provide an update on our fluids business, and Jim will discuss the Mat and the environmental service businesses, as well as the financial results to the core. I will then conclude with a discussion of our market outlook before opening the call to Q-and-A. Now turning our attention to the fourth quarter; we continue to see improvements across all business units. Our North American business results reflect the increasing strengths in the US rig count and the international business results reflect the continued revenue growth in Brazil and steady performance for our Mediterranean operation. As a result of improvements in the market conditions, as well as ongoing efforts to enhance operating efficiencies, all of our business segments returned to profitability in the quarter. Since the low point in the first quarter of 2009, our operating results have improved over the past three quarters colligating a profitable operating result in the third and fourth quarters of 2009. Our consolidated revenue for the fourth quarter was $136 million, a 15% sequential improvement over the third quarter. Operating income for the quarter was $5.1 million compared to $2.2 million in the third quarter of 2009. Net income in the quarter was $16,000 or breakeven on a per share bases, as an unusually high tax rate offset the improved pretax profits. Sequentially the US rig count increased 14% from the third quarter, which represents a substantial acceleration from the 4% sequential improvement last quarter. Our US fluid business reflected this strength as revenue was up 15% from the third quarter, and we gained market share in large part due to our strong presence in the US shale plays. We also experienced a nice improvement in our Canadian business in the quarter, and our international business posted a sequential revenue growth of 10% from the third quarter due to the improvements in the Mediterranean, as well as growing activity in Brazil. We continue to grow in Brazil where we saw a sequential revenue increase of 15% to $10.3 million. As Bruce will explain later, our profitability in Brazil has not been acceptable and we expect to see improvements in the coming quarters. In total, the overall profitability of our fluids business continued at sequential improvement, with operating income at $6.7 million, more than doubling the $2.5 million achieved in the third quarter of 2009. Operating margins were 5.9%, a sequential improvement of 330 basis points. Our Mat and integrated service business saw a 64% sequential improvement in revenue to $12.4 million. The sizable gain was due to increased Mat sales. As a result this segment returned to profitability in the fount quarter, with operating income of $1.2 million. Our environmental service business experienced a 17% sequential decrease in revenues to $9.3 million; most of this decline was due to lower volumes. Operating income was $1.1 million, down 73% from the third quarter. Please keep in mind that the third quarter included $2.3 million in business interruption insurance income related to the 2008 hurricanes. In addition to the improvement in the North American market, another positive data point that represents an important driver in our future growth is the increasing market acceptance of our water based fluids technology. This quarter I would like to highlight the positive reception we have received from the introduction of a newly developed water based fluid technology in the Haynesville shale. Utilizing our disciplined approach to technology development, we have introduced a new product specifically for use in the Haynesville shale formation. Our work to-date on six completed Haynesville wells has brought to the market a water based technology with performance characteristics that are comparable to the traditional oil based systems. We continue to introduce this new technology to the market and are optimistic that its development represents a real step change in the performance of water based products as compared to oil based alternatives. Also I had talked before about the continued acceptance of Newpark’s technology and service capabilities by NOC’s and IOC’s around the world. To that point, we recently signed a new global master service agreement with Repsol, under which we expect to work with them in Brazil sometime in 2010. I continue to be encouraged by the opportunities to expand the Newpark plan around the world. Finally, we have continue to focus on financial discipline and balance sheet management, reducing total debt by $12 million in the quarter, bringing our full year debt reduction to $65 million. As our markets continue to recover and grow, we expect to target our capital investment in those growth markets, both domestically and internationally. With that, now let me turn the call over to Bruce Smith, who will review the operating and financial performance of our fluids business.
Bruce Smith: Thank you, Paul and good morning everyone. Before presenting a review of the fluids systems and engineering segment, I would like to point out that we had a good quarter with positive sequential improvement. Since the low point in the second quarter, we have seen our fluids revenues improve and our operating income began improving from the first quarter due to our quick response to signs of a market downturn. Going forward, we believe that our lineal cost structure will help make 2010 a better year for the fluids business, irrespective of the market activity. Now moving to our fourth quarter results; looking at our results on a sequential basis total fluids segment revenue was up 14% to $113.8 million, with our U.S. revenues up 15% due to a 14% improvement in the U.S. rig count, indicating that we grew faster than the market. Our Canadian operations have improved nicely driven by improved rig activity and focus on the marketplace. We experienced strong improvements in the Rockies, East Texas, West Texas and the Gulf Coast. In East Texas our business in the Haynesville continues to experienced strong growth, including market share of gains. Mediterranean revenues were up 9% sequentially to $32 million and Brazilian revenues were up 15% to $10.3 million. Looking at the results on a year-over-year basis, total fourth quarter revenue was down 40%. The bulk of this decrease was attributable to a 53% decrease in North American revenues to $71.6 million, reflective of the market downturn. Our Mediterranean operations performed notably better than North America, generating $32 million of revenue in the quarter up slightly from a year ago. The $10.3 million in Brazilian revenues were up 53% over the last years fourth quarter due to the ramp of activities over the past year. Our fluid segment reported operating profit of $6.7 million, a $4.2 million sequential improvement over the third quarter, reflecting the benefits of increased revenue and a lower cost structured. Operating margin in the quarter was 5.9% up from the 2.6% reported in the third quarter of 2009, and the fourth quarter of 2008 the operating margin was 11.7%. Let me talk a moment to address several developments in our fluids business, some of which Paul refer to earlier. Looking at Brazil, the expected improvement in profitability did not materialize in the fourth quarter. Sequentially revenue increased from $8.9 million to $10.3 million. However we recorded a loss of $1.5 million for the quarter. This resulted from an increasing the sale of relatively low margin product and service lines and a decrease in the sale of our higher margin proprietary products. We continue to work with Petrobras to both increase total sales as well as improved the mix of products and services we sell them. In addition we recently gained new business in the form of a $7 million order from the purchasing arm of Petrobras for the sale of base oil throughout 2010. This sale represents new business to Newpark outside the Lot B contract. Let me close in this topic by saying that we committed to taking the necessary actions to drive the required profitability in Brazil. In the last earnings call we discuss the implementation of newly formed supply chain management organization. This group has already started show benefits. For example in the U.S. with revenues increasing 15% sequentially, we were able to lower our inventory levels from the third quarter. We plan to continue reporting on the benefits achieve by this new organization throughout the coming year. On the technology front we have been conducting R&D on the development of a new water based fluid to replace oil base systems in the drilling of horizontal Haynesville wells, following the successful drilling, similar to the studies in the first field trial according to the fourth quarter of 2009. The result of that well and subsequent wells has been very encouraging, we continue to refine and optimize the system and it’s engineering. Based on initial results, we believe this new water based technology can successfully displace oil-based fluids in the Haynesville. Water based fluids have [inherent] advantages versus oil based systems including environment and safety. Oil based systems historically, happy news for superior and consistent downhaul performance. The value proposition of our new water based drilling fluid system is that it has demonstrated on all wells drilled to date comparable performance attributes normally seen in oil based systems, including rates of penetration, low coefficients of friction and stability to high temperatures and common contaminants. While it’s early, the new fluid continues to gain expectances. In addition to the six completed wells we are currently on nine rigs in the Haynesville with this new system. While most of us are thrilled that the challenges of 2009 are behind us, we were able to make inroads into a new key U.S. market. In early 2009 we entered the Marcellus market by redeploying under utilized assets from other parts of the U.S. Starting with no revenue in 2008 we finish the year was almost $7 million of revenue in this market, and existed the year at an annual run rate of 12 million and a 12% market share. We expect that the Marcellus will continue to grow at a rate faster than the US average subject to any new environmental restrictions. In closing, I would like to say that we are please with continuing improvement in our fluids business. Our international businesses are showing steady growth and we expect it will represent a large part of overall business. Also as we begin to increase the sale of proprietary products in Brazil, we expect to see improvements in our bottom line. Domestically the improvement in rig count bodes well for our products and services, but we are not relying strictly on an improving market for our growth. We are actively targeting share gains in the domestic shale plays, using our water base technology as a means to differentiate ourselves from the competition. With that, I will now turn the call over to our CFO, Jim Braun.
Jim Braun: Thank you, Bruce and good morning everyone. I would like to begin by discussing our well site construction environmental services businesses, before finishing with our consolidated results. In our well site construction business, fourth quarter revenues were $12.4 million up $4.8 million or 64% on a sequential basis. Of this increase included a $4.9 million increase in mat sales while our well site construction activities remained relatively flat. On a year-over-year basis revenues were down 41% from the prior year. The operating income for the segment was $1.2 million or 9.9% of revenue compared to an operating loss of $1.8 million a year ago and an operating loss of $900,000 in the third quarter of 2009. The sequential improvement in operating income during the fourth quarter as primarily attributable to higher revenue levels and our lower cost structure resulting from the actions taken throughout 2009. Our environmental services business reported $9.3 million in revenue for the quarter, down 17% sequentially and 38% year-over-year. Compared to our other operating segments, this business remains profitable throughout the downturn although we did experience some softness in the most recent quarter, due to lower volumes of NORM and industrial waste. Operating income for Environmental Services segment was $1.1 million in the quarter, more than doubling the $427,000 of profit from last year. The fourth quarter of 2008, operating income included $2.6 million of asset right offs following the termination of our agreement sell this business in that period. On a sequential basis operating income was down $3 million as the prior quarter included $2.3 million in income associating with the final settlement of business interruption insurance. The remaining $700,000 decline in operating profit is attributable to the $1.9 million decline in revenues, partially offset by cost production programs. For the fourth quarter of 2009, operating margin was 11.8%. Moving to our consolidated results for the fourth quarter of 2009; we reported total revenues of $135.5 million, up 15% from the third quarter of 2009 and down 40% from a year ago. Operating income for the quarter was $5.1 million, compared to $2.2 million in the third quarter of 2009, and improvement in operating income of $2.9 million. Sequentially, interest expense was $638,000 lower driven by lower debt levels and lower interest rates. As a result, total pre-tax income for the fourth quarter was $2.7 million up from a small pre-tax loss in Q3. Net income in the quarter was $16,000 a breakeven on a per share basis, which was flat with the third quarter. A year ago, we reported fourth quarter earnings of $0.08 per share. For the full year 2009, we reported revenues of $490 million, which were down 43% from 2008. Income from continuing operations for 2009 was a loss of $0.23 per diluted share, compared with the $0.44 profit in 2008. Before talking about our balance sheet, let me take a minute to explain the income tax rate for the fourth quarter and its impact on earnings per share. Our Q4 EPS was breakeven despite the $2.7 million of pre-tax income in the quarter. This pre-tax income was offset entirely by income tax expense in the quarter, as a result of a change in the tax rate during the fourth quarter. Through the end of the third quarter of 2009, we estimated a full year tax rate of 19% and then closing out the year in December, the tax rate was determined to be 10%. Now thinking about the impact of this change, it’s important to note that although a reduction of the tax rate is normally associated with improvement in net income that’s not the case here, and that’s because we’re reporting a pre-tax loss for the full year of 2009 rather than pre-tax income and therefore a reduction in the tax rate in the loss year reduces the amount of tax benefit and thus increases a net loss for the year. But the change from 19% to 10% was a result of the significant swing in the geographic mix of earnings between the U.S. and Brazil, stronger than previously anticipated results from our U.S. operations, which are tax for the 35% rate were offset by a larger than anticipated pre-tax loss in our Brazilian operations, for which the recording of a tax benefit is not currently permitted. So even though our final 2009 pre-tax income in total was comparable to our earlier estimates, the change in mix had a negative impact on the tax rate for the year. The impact of that change included a reduction on the tax benefits for the first three quarters of 2009, which is reflected in the fourth quarter, thus producing a usually high tax rate for the quarter. Now turning to the balance sheet and liquidity; during the quarter we paid down $12 million in debt leaving total debt of $123 million at the end of the fourth quarter with a cash balance of $11.5 million. Since the beginning of 2009, we have reduced debt by $65 million. The reduction in debt has lower to our debt the cap ratio to 25% at December 31, from 27% at the end of September and from 33% at the end of 2008. We are incompliance with the financial covenant requirements of our amended credit facility that we executed in July of 2009, and we expect to remain incompliance with these covenants throughout 2010. At the end of 2009, we have $55 million of availability under this facility. In terms of 2010, I would like to provide a bit of color to our projected tax rate, which we estimate will be in the range of 31% to 32%. This range is predicated on among other things profitable operations in Brazil. To the extent that Brazil does not achieve profitable operations the result would be upward pressure on the tax rate. Our capital expenditures were $1.3 million for the fourth quarter, and $18.5 million for the full year, while our depreciation and amortization expense was $7.2 million in the quarter and $28.1 million for the year. For 2010, we expect capital expenditures to be about $15 million of which $12 million is budgeted for our drilling fluids business. This $12 million represents about 86% of fluids annual depreciation. While our markets continued to improve, we planned to remain prudent and disciplined in the deployment of capital. Now, I’d like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thanks Jim. 2009 was a challenging year for our shareholders, customers and employees, but during this difficult time the company was able to maintain its focus on rightsizing the business to ensure that it emerged a stronger, more viable oilfield service company. The performance over the last two quarters has currently shown that the momentum has shifted in our direction. The strengthening of the North American rig count has been a welcome event and we believe that market conditions are favorable for continued improvements going forward. However, we’re not content, nor will we rely solely on the benefits of recovering markets. We will aggressively pursue growth both domestically and internationally where our technology and service create value for our customers. Our goal is achieving a more balance spilt between our North American and international business is unwavering, and in 2009 we saw the benefit of relatively stable overseas market. With that stated we have not seen the full benefit of our Brazilian operations. We have more work ahead of us to transition the business to breakeven and profitability by year-end. It remains our belief that Brazil is one of the most attractive markets globally for our technology and services. Another related, yet separate catalyst for growth is the opportunity to expand our market share, both domestically in the emerging shale plays and internationally to continue deployment of our high performance water based fluids. Based on the initial results, we believe that our newest water based technology represents the step change in the historical performance of drilling fluids. Our challenge quite simply is to turn this initial success into meaningful revenue and earnings growth for our shareholders, more to come on this topic during the first quarter call. In closing, I would like to say that well as an extremely challenging year, I am very proud of the way our employee’s responded adversity and state focused on servicing our customers. Because of their dedication Newpark has remerged a stronger company. With that we will now take you questions. Operator
Operator: (Operator Instructions) Your first question comes from Jim Rollyson - Raymond James
Jim Rollyson - Raymond James: You talked about the water based fluids and kind of how you are staring to make some inroads there in Haynesville in particular. Can you talk about, Paul maybe kind of what the revenue opportunity is? Maybe kind of how much on average, what kind of revenue per well you are looking at or something along those lines, so we can see how the skills up as you go through the Haynesville and the Marcellus etc., and then also maybe how the margins on this, compared to some of the more conventional stuff you are doing?
Paul Howes: Yes, well I’ll give you a little color, and then maybe I’ll ask Bruce to add on to some of that. With respect to what our expectations are on a revenue by rig basis or by wells, a little premature yet. As you know, we had our first successful well in the fourth quarter, I think the real measure for the growth of the technology as we speak today relates to the number of rigs that were on, we are on one rig in the fourth quarter as of date, today we are on nine rigs, so little higher to quantify the revenue per well, or per rig at this time.
Bruce Smith: This is Bruce, I think that’s correct, Paul. To give some color to perhaps I can say that of the nine rigs that we are currently running the system on, each of those rigs we would not have had, had it not been for this new system. So that gives you some sort of guidance.
Jim Rollyson - Raymond James: Just on the margins and it’s obviously early, but we’re kind of looking at this being a better margin opportunity than what you are used to seeing or more inline with what you’re used to seeing?
Paul Howes: Yes, certainly from our perspective and what we’re seeing in terms of initial performance in terms of improved rate of penetration, the environmental aspects of this fluid, also seeing some benefits in terms of reducing the number of days to reach TD for our customer. We’re certainly trying to improve the margins and get a premium for this product, because it is very unique both in terms of the value for us, as well as the value for our customers.
Jim Rollyson - Raymond James: Then just as a follow-up on Brazil, last quarter if I remember right, Paul you were talking about margins not being so great at this point, but kind of where you ultimately expect them to go with something comparable to what you are doing in the Mediterranean business. Kind of in the mid teens, down the road is kind of what you’re shooting for if I recall. Any thoughts on kind of how long it might take for you to get there?
Paul Howes: Well, I let Bruce answer that one.
Bruce Smith: Certainly, the inconsistency of the revenue and product mix is frustrating in terms of benchmarking the progress, but we are fully committed to take whatever actions are necessary to drive towards the breakeven position, and then consistent profitability and I think we’ll see positive movement towards this in the first quarter.
Paul Howes: Then longer term, our goal in terms of the mid teen margin is unchanged. We believe that it will take a little longer than what we thought last quarter to get there, but we firmly believe that will reach that level.
Operator: Your next question comes from Terese Fabian - Sidoti & Co.
Terese Fabian - Sidoti & Co.: I have a question on Brazil also; in terms of the product and volume that you are selling into with Petrobras, what degree of control do you have? How do you plan on negotiating that without getting into specifics?
Bruce Smith: Petrobras operates through different operating units, and you’re awarded certain rigs as per your contract allowances as a ratio, and you get to supply the key products or the proprietary products for those rigs that you’re currently rewarded. We’re certainly seeing signs now that our product revenues will be picking up. We’re certainly gaining on rig count from Petrobras. At the current moment we have, I believe 10 rigs offshore now running for Petrobras where back in the fourth quarter we were at eight. So we’re certainly seeing a little movement in the right direction.
Paul Howes: The other color I’d like to add to that too, is in terms of the proprietary products we’ve had a couple of offshore wells where our water based technology has been successful, and some of the new rigs that are being added the initial discussions appear to be that those rigs will be dedicated to the water base technology.
Terese Fabian - Sidoti & Co.: A follow-up, can you breakout what proportion of your Brazil sales are to other IOCs in the area?
Bruce Smith: Yes Terese, the majority of it is the Petrobras. It’s probably in the 70%, 75% range, Petrobras the balance being the IOCs.
Operator: (Operator Instructions) Your next question comes from Neal Dingmann - Wunderlich Securities. 
Neal Dingmann - Wunderlich Securities: A quick question; how applicable is the new water base that you mentioned in the Haynesville that’s on those nine rigs. I’m just wondering how applicable that would be to the Marcellus or is that more field specific. I’m just wondering, how much you can do with that to this other region?
Bruce Smith: I think initially the system is formulated very specifically for the high temperature or horizontal environments in the Haynesville Shale play. We are currently working on reformulating the system to go and play in all those shale plays, but the initial formulation was very specific for Haynesville, but we’re in the process of adapting it now.
Paul Howes: What we’re also looking to do is get core, some of these different shale formations around the U.S., and also internationally in the new plays in Western Europe and then get those on to our drilling simulator shale, so we began to do some of the advanced R&D work.
Neal Dingmann - Wunderlich Securities: Just my follow-up, talking about a lot of the rig operators out there, it sounds like bid activity, not just the rig count, but bit activity is starting to pick up pretty nicely. Are you seeing that as well with some of these operators, that they’re coming into you and you’re starting to get an idea as far as to give you just a bit more positive going forward in the next few quarters?
Bruce Smith: We’re certainly seeing a slow, steady progress. We’ve been seeing it for some few months now and it’s continuing.
Operator: Your next question comes from Mike Harrison - First Analysis Securities. 
Mike Harrison - First Analysis Securities: On the fluid segment, just in terms of the cost structure, are you at a point now where you’re starting to bring staff and other resources back or are you still operating at significantly lower levels. I was wondering also if you could discuss exactly how much permanent structural cost takeout there was in ’09, and if we should see anymore incremental cost takeout in 2010?
Paul Howes: Yes Mike, let me tackle that one. We have certainly been holding the line on bringing back people, which are our largest costs. Where we do bring them back is in the field locations where they’re directly interfacing with the customer and helping us achieve those higher revenue levels. We are being able to leverage the support in the back office and all the activities that go on there, and at these levels and some of the increases we’re seeing, we think we should be able to maintain that leverage. If you calculated some of the incrementals from the third to the fourth quarter, there are in the 30% plus range indicating that very fact. So we recognize the importance of keeping the cost structure lien, particularly in those activities that aren’t at the customer side and that’s what we are looking to do as we move forward.
Mike Harrison - First Analysis Securities: I was also hoping you could give us a little bit more detail on this Repsol contract, is it bigger than the Petrobras contract or roughly the same size, significantly smaller, and then maybe comments on where you see Brazil revenue levels as you look out to 2011 to 2012?
Bruce Smith: Let me tackle the Repsol one; the Repsol contract is an assay, it’s a national service agreement. So there are contractual obligations there, but there is no definitive revenue contractual obligation or anything of that sort. We do what with Repsol in other parts of the world. This will allow us to work with Repsol in parts of the world that we historically haven’t done business with them before.
Paul Howes: Mike on your Brazil question, as we have alluded to, we believe that contract is just beginning to ramp up. You saw the $10 million of revenue that we did in the fourth quarter. Without giving specifics we do expect that to continue to grow. So you can annualize that and come up with a nice piece of business on an annual basis.
Mike Harrison - First Analysis Securities: Does the Repsol contract have the potential to be bigger than Petrobras?
Paul Howes: No, that’s not the case at all.
Bruce Smith: I think it’s meaningful from the perspective that historically Newpark had been very strong with independence, and over the last two years we’ve been pushing very hard into the IOCs, the NOCs, and this is just another success in being able to sign a global MSA with a very important IOC.
Operator: Your next question comes from Michael Marino - Stephens.
Michael Marino - Stephens: My question is, in the Haynesville the nine rigs that you all are on today, is it still for one operator or have you all kind of expanded your reach?
Paul Howes: It’s actually currently for three operators. The majority is with one operator that historically we had not done any work with them in the Haynesville Shale.
Michael Marino - Stephens: The other two operators are; is this their first go around with the fluid, or were they part of those six wells that you drilled to-date?
Bruce Smith: No, they were not part of the six wells drilled to-date; they are new wells, that’s correct.
Operator: Your next question comes from Stephen Gengaro - Jefferies & Co.
Stephen Gengaro - Jefferies & Co.: I was just wondering on the North American shale I guess to start, can you give us a sense for what you’ve seen pricing wise. I may have missed the beginning of the call, but have you seen anything material even pockets of strength, can you kind of give us the landscape?
Paul Howes: Certainly we believe that pricing has stabilized. We don’t see it declining, but we don’t see a lot of opportunity to raise pricing in some of the more traditional fluids well. I would say with our new technology we are encouraged by the pricing that we’re able to get in the marketplace.
Stephen Gengaro - Jefferies & Co.: I’m sure you have come across this big speculation in The Wall Street Journal today about somebody saying Smith possibly getting together. Do you see that as an initial read of having any positive or negative impact on your business in some of the international markets particularly?
Paul Howes: We saw that as well, and we really see it more as mutual capacities. Certainly we think one of the significant advantage that MI has had in growing their business over the last decade is they’ve been focused on fluids and solids control. If they are acquired by Slumber J, then certainly there’ll be more of a individual product within their total portfolio, and I think in some of the other larger integrated service companies, you’ve seen a loss of focus in fluids, and that’s one of the driving forces behind our market share growth. So we see it neutral to positive.
Operator: (Operator Instructions) Your next question comes from Terese Fabian - Sidoti & Co.
Terese Fabian - Sidoti & Co.: If I could just shift the geographic focus for a minute to the Mediterranean and North African area, are you seeing any new activity there or is there going to be per your expectations an increase going through 2010, and also in Eastern Europe?
Bruce Smith: I will take the Mediterranean and North Africa first. We see a steady small growth in the North Africa and Mediterranean area in terms of rate count and our future business. In the eastern block countries that came down significantly in 2009, they have yet to come back to anything like the level they were at prior to the 2009 fall. So it’s a little mixer of both, up a little in the Mediterranean and North Africa, and down a little in Eastern Europe.
Paul Howes: The other comment I would like to add on that is that we are starting to see and getting calls from some of the other IOCs that would like us to move into West Africa, to move into Russia. So we’re continuing to gain traction in terms of looking at new regions to expand in, but nothing really on the table at this time.
Terese Fabian - Sidoti & Co.: Then if I could shift back to the water based fluids, can you talk about what the value proposition is from the point of the customer? The environmental is certainly there, are there others savings for them in terms of dollars?
Bruce Smith: Certainly, the environmental is a saving. I don’t know if I can talk to the operators in all things, but I’ll give you my flavor. Certainly some operators see safety as a major issue when using oil based muds, drilling in gas wells, and that’s to do with the solubility of gas and oil when well controlled become a little more difficult in oil rather than water. So those are value there. How you quantify that, I really do not know, but we are at this stage, shortly hopefully anyway, that we’ll begin to get from the operators some of the things that we’re doing with them, some of the savings we’re gaining. Certainly time to drill was one factor that will be very important, we don’t quiet handle on that yet, but that will be a factor disposal of oil wastes, oil based mud wastes. It will be a factor and it will be a cost associated with that, but as we developed this mud system and as we develop our relationships with the customers using it, we’ll begin to refine and define these things a little better.
Operator: Your final question comes from Jim Rollyson - Raymond James. 
Jim Rollyson - Raymond James: I think Jim you mentioned Mats had a $4.9 million worth of sales this quarter?
Jim Braun: Correct.
Jim Rollyson - Raymond James: If I remember right, you guys were looking, kind of forecasting that before, because you had made mention about getting back to breakeven levels on margins, obviously you did a bit better. Just kind of curious what your thoughts are as you go into the first quarter, and through the year given where the rig count is? I am assuming that some of the sales aren’t going to repeat, so just kind of how you see maybe revenues and margins playing out absent some of that sale you had in the fourth quarter?
Jim Braun: Yes, Jim you highlighted a really important thing, and it somewhat gets lost in some of the noise, but the guys in the Mats business have really done an outstanding job turning things around. They’ve been aggressive on the cost side, yet they’ve also really ratcheted up the efforts on the marketing and the sales, not only the Mats, but trying to get new work. We’ve moved Mats into Colorado and into the Marcellus, where a year 18 months ago we didn’t have any. We see that as an opportunity to grow revenues. There’s a real interest in our mating systems for a different reason because it provides a clean and environmentally friendly workplace. In terms of visibility, we do have a little bit of visibility in the sale of the Mats. I think we look out 90 days and we see some things in the back order that says we ought to have another good quarter in the Mat sales, and additionally one of the bright spots we’ve talked about before is the business in the United Kingdom. We are sending another 2,000 Mats to the U.K. that give us a total of 6,000 Mats in the U.K. that are on our rental markets, not a well field, but its nice business and provides a nice steady cash flow strain from that activity. So to summarize, we think the Mats folks have turned the corner. We think they’ve got some good opportunities ahead of them, and we’re expecting them to continue the growth and contribute more than they did in 2009.
Paul Howes: Jim just to add a little more to that, the other thing I’d like to add too relates to the environmental business. They had a pretty challenging year in 2009, a lot of restructuring there to get their cost inline with the revenues going forward in the market conditions. So we’re seeing a lot of great things from the environmental part of our business and we expect them to continue to perform in 2010 as well.
Jim Braun: Yes, I think just to add on Jim, we should make sure we highlight the fact that that’s a business unit that remained profitable throughout 2009, where our other segments and a lot of people really struggled, so our hats off to them.
Operator: Thank you. There are no further questions in the queue. At this time I would like to turn the call back to Mr. Howes for any closing remark.
Paul Howes: We’d like to thank you once again for joining us on this call and for you’re just in Newpark Resources. We look forward to talking to you again after the conclusion of our first quarter. Take care.